Operator: Good day, ladies and gentlemen. And welcome to the Q4 and Fiscal Year End 2015 Ocean Power Technologies’ Earnings Conference Call. My name is Halley, and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder, this call is being recorded. I would like to turn the call over to Shawn Severson, Managing Director of Blueshirt Group. Please proceed, sir.
Shawn Severson: Thank you and good morning. Thank you for joining us on OPT’s conference call and webcast to discuss the financial results for the three and 12 months period ended April 30, 2015. On the call with me today are George Kirby, President and CEO; and Mark Featherstone, Chief Financial Officer. George will provide an update on the company’s recent developments, key activities and strategies, after which Mark will review the financial results for the fourth quarter and full fiscal year 2015. Following our prepared remarks, we will open the call for questions. This call is being webcast on our website at www.oceanpowertechnologies.com. It will also be available for replay approximately two hours following the end of this call. The replay will stay on the site for on-demand review over the next several months. Yesterday OPT issued it’s earnings press release and filed its annual report Form 10-K with the Securities and Exchange Commissions, and all our public -- all of our public filings can be viewed on the SEC website at sec.gov or you may go to the OPT website oceanpowertechnologies.com. During the course of the conference call management may make projections or other forward-looking statements regarding future events or financial performance of the company within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1985, excuse me, 1995. These forward-looking statements are subject to numerous assumptions made by management regarding future circumstances of which the company may have little or no control and involve risks and uncertainties, and other factors that may cause actual results to materially different from any future results expressed or implied by such forward-looking statements. We refer you to the company’s Form 10-K and other recent filings with the SEC for a description of these and other risk factor. And with that, I’d like to turn the call over to George to begin the discussion.
George Kirby: Thanks, Shawn. Good morning, everyone. I'll begin by reviewing our operations and provide an update on key activities and developments after which Mark will briefly review our financial results. Mark and I will then be available to answer any questions. So let’s begin. First, I am excited to say that we are making headway and aggressively driving the deliverables that we established earlier this year. We have achieved fully permitted status for deployment of our PB40 buoy, we are in the process of deploying the mooring system, and we continue to monitor for a suitable weather window for final buoy deployment off the coast of New Jersey. Second, we are about to achieve fully permitted status for deployment of our APB-350 A1 buoy, which we also expect to deploy this summer. We are in the process of factory testing the A1’s power take-off, also known as the PTO and the A1’s energy storage system prior to sea trials. We are also making significant progress towards development of our commercial generation A2 buoy. A2 is being developed with an optimized hull geometry for improved hydrodynamics and operating efficiency, as well as reduced costs associated with fabrication, transportation and deployment. Recently, the A2 program successfully completed rigorous internal preliminary design review. Third, as we highlighted in our recent press release, we’ve begun development of our PB10 PowerBuoy, which leverages a scaled-up version of the APB-350 PTO and a higher efficiency energy storage system for applications that require higher power output. The PTO design for the PB10 recently passed a stage-gate review with the U.S. Department of Energy or DOE and the detailed design review of the PTO is anticipated to occur around the end of summer 2015. Each of these activities demonstrates our progress toward commercialization of our cutting edge power solutions but our activities don’t stop there. As we shared during the last earnings call, there are four key market segments which we’re targeting, offshore wind, ocean observing, defense and security, and oil and gas. To start, the offshore wind industry is very exciting for us. It requires substantial data to determine ocean environment and wind resource conditions for turbine design and layout, power generation prediction, turbine maintenance prediction and for financing purposes. A wave powered mobile monitoring system is a redeployable asset for use across multiple projects during early-stage development and can be advantageous during the entire project life cycle for continued monitoring and correlation of wind resources to project output. Our objective and future value proposition in the offshore wind market is to become the preferred integrated solution delivering 50% or more life cycle cost savings over incumbent solutions. The near-term addressable market for OPT includes multiple stakeholders across scores of sites in the U.S. and Europe over the next three years. We continue to see significant interest in our PowerBuoy throughout this market and we’re discussing potential applications with market participants using our APB-350 as the power solution platform. Moving on to the ocean observing industry, we see applications for our APB-350 such as powering docking systems for unmanned underwater vehicles, which could result in more frequent and reliable vehicle charging. We believe that our PowerBuoys could serve as a power platform, given the severe limitations of incumbent system power sources. We believe this could allow for consolidation of multiple sensors from individual incumbent systems and thus dramatically decrease life cycle costs. Turning to the defense and security market, we continue to identify funded applications in the U.S. and international defense markets. And we continue to seek strategic relationships with potential partners who service them. We're currently pursuing multiple funding opportunities which if successfully secured, we hope to showcase in the coming months. Lastly, for the offshore oil and gas market, we’re seeking to further develop our technologies for applications which require higher power output through a combination of scaled-up PowerBuoy designs, enhanced mooring systems and array technologies. We continue to engage potential customers who are seeking solutions for offshore platforms, offshore communications and downhole applications. To address all of these market segments, we continue to collaborate with potential PowerBuoy users and to progress toward potential agreements for further development, demonstrations and applications. We also continue to increase our technical depth and our ability to execute by augmenting our team with outstanding engineering, operations and business development expertise through both new hires and external associates. I will now turn it over to Mark who will review our financial results for the quarter and full fiscal year 2015.
Mark Featherstone: Thanks, George, and good morning, everyone. I will now briefly review results for the fourth quarter and full year of fiscal 2015 before we go onto questions. For the three months ended April 30, 2015, OPT reported revenue of $0.5 million as compared to revenues of $0.4 million for the three months ended April 30, 2014. Revenue in both periods was primarily related to our project with Mitsui Engineering & Shipbuilding or MES. The MES project is currently undergoing a stage-gate review as discussed more fully in the MD&A section of our filing on Form 10-K for the fiscal year ended April 30, 2015. The net loss for both the three months ended April 30, 2015 and April 30, 2014 was $3.3 million. Compared to the prior year quarter, the current year quarter reflected an increase in gross profit due to a change in project costs related to the MES contract. In addition, SG&A expenses were $1.4 million lower than the prior year primarily due to reduced employee related expenses and the lower site development expenses related to our terminated project in Australia. This was offset in part due to increased product development as OPT continues to advance its technology and prepares for upcoming deployments. In addition, OPT received a refund related to research and development expenditures in Australia. Results in the prior year of fourth quarter reflected a favorable adjustment for a change in project loss reserve. For the full year ended April 30, 2015, OPT reported revenue of $4.1 million compared to revenue of $1.5 million in the prior year. The increase in revenue was primarily related to increased billable work for the removal of the anchoring and mooring equipment from the seabed off the coast of Oregon, increased billable work under our current phase of our project with MES, and the completion of our WavePort contract with the European Union. These increases were partially offset by decreased revenue on other billable development projects. The net loss for the fiscal year ended April 30, 2015 was $13.2 million, compared to a loss of $11.2 million in the prior year. The increase in OPT's net loss year-over-year primarily reflected an increase in estimated project costs associated with our contract with MES, increased legal fees, as well as higher consulting and patent amortization costs. These increases were partially offset by decreased product development costs due to the substantial completion of our cost-sharing contract with the DoE for our Reedsport project in Oregon, net of increased costs associated with other internally funded development. In addition, OPT experienced reduced employee related costs and site development expenses related to our terminated project in Australia, and received a refund related to research and development expenditures in Australia. Turning to the balance sheet, as of April 30, 2015, total cash, cash equivalents, and marketable securities, were $17.4 million, down from $28.4 million on April 30, 2014. At April 30, 2015 restricted cash was $0.5 million, compared to $7.3 million in the prior year. This significant decrease in restricted cash was primarily due to the return of $4.7 million in customer advance payments that we have received under our former contract with the Australian Renewable Energy Agency or ARENA. Net cash used in operating activities was $17.2 million and $6.5 million for the years ended April 30, 2015 and 2014, respectively. The increased cash used in operating activities included the return of $4.7 million to ARENA, while the prior year included the receipt of funds from ARENA. Over the last several months, we have taken a number of steps to reduce our run rate while also increasing our technical, operating, and business development resources. As a result, we currently project that our operating cash burn in fiscal 2016 will be lower than our operating cash burn in fiscal 2015, even as we deploy the [P Buoy] [ph] in fiscal 2016. We have also substantially increased our proposal efforts and are actively pursuing commercial partnerships and other alliances with potential customers. As a result of these actions, we remain confident in our cash position and we expect to have sufficient cash to maintain operations through at least July 2016. With that, I’ll turn it back to George before we open up the call for questions.
George Kirby: Thanks, Mark. Before we move to questions, I thought I would highlight a few compelling reasons to consider OPT. Number one, we believe we are the technology leader in wave energy conversion for offshore applications. Our technology provides a critical solution for offshore distributed power generation for a number of industries discussed earlier. We have a clearly defined technology roadmap, which focuses on driving down costs, improving reliability and durability, and broadening commercial applications, and we currently have been continued to develop significant intellectual property around our technologies and applications. Number two, we are targeting a large addressable markets, including ocean-based communication and data gathering, security, defense, and offshore oil and gas. We are planning multiple upcoming PowerBuoy deployments which we believe will further advance our product validation and will serve as near-term market catalyst. And number three, we consider our staff to be world class. And we have a solid leadership team in place of both the executive management and board levels. So in summary, we’re laser focused on launching our PowerBuoys into offshore market applications, where reliable and cost effective power is critical yet currently unavailable. And we’re very excited about the progress that we’ve made in advancing our core technologies toward achieving this goal. We’re committed to meeting our business objectives, including this year’s successful deployments of the PB40 and the next generations of the APB-350 in order to validate durability and reliability, all while we aggressively seek new customers and partners as part of our commercialization efforts. We’re hopeful that we can share the news of our continued successes in the coming weeks and months. So, thank you for your time today. And operator, we're now ready to take some questions.
Operator: [Operator Instructions] Your first question comes from the line of Amit Dayal from H.C. Wainwright. Please go ahead. You are now live in the call.
Amit Dayal: Thank you. Good morning, guys. In regards to the three buoys that are potentially going to be put under trials, what level of costs do we incur on a quarterly basis to have these tests undergo?
Mark Featherstone: Yeah. So, there is obviously initial cost for this deployment. After that the primary costs are our internal cost of monitoring those devices. So there is some initial cost to deploy and then later to take out the buoy but the ongoing monitoring costs are somewhat nominal.
Amit Dayal: Got it. And in terms of your commercial opportunities you spoke about potential partnerships, do you expect to announce any partnerships or initiatives to begin tests or any feasibility study et cetera with some of those types of opportunities?
George Kirby: Hey, Amit. It’s George. Good question. Thank you. Yeah, so like I said, we’re speaking with a number of different parties right now. And we’re looking at specific applications that we could work on together. We are hopeful that in the coming months, we can speak to you about that as well as let the market know. But right now obviously we can’t talk about it, but we are definitely in discussions with multiple parties.
Amit Dayal: Got it. I guess, I mean that’s all I have. Thank you. I will get back in queue.
Mark Featherstone: Thank you.
Operator: Thank you. We have no more questions at this time. [Operator Instructions] Sir, you have no questions at this time. [Operator Instructions] Thank you. Sir, we have no questions at this time. [Operator Instructions] Thank you. We have no more questions. I would now like to turn the call over to George Kirby. Thank you.
George Kirby: Thank you, Operator. We believe our offshore autonomous PowerBuoys will effectively serve several market applications where current solutions remain either inadequate, costly or they simply don’t exist. We see our PowerBuoys as platform for integrated solutions to some of offshore industry’s toughest challenges. We believe that once implemented, our PowerBuoys will become an enabling technology for new applications, which today have only been conceptual at best. The offshore environment is extremely harsh and challenging, especially where solutions such as ours are required to operate for long periods of time without human interventions. We truly believe in the value of our solutions to our customers, to shareholders and for society and it is this belief, which drives us to innovate disruptive technology such as our PowerBuoys to validate this technology more quickly such as through our Accelerated Life Testing. And to relentlessly search for ways to merger solutions with those that will benefit the most. I want to thank everyone once again for attending today’s call. If there is any further questions please don’t hesitate to contact us. Otherwise, we look forward to providing further updates next quarter.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.